Yuuko Kurabe: Thank you all for taking time out of your busy schedules to attend Yamaha Motor Company's First Quarter Earnings Presentation for the Fiscal Year Ending December 2025. My name is Kurabe from the Corporate Communications Department and I'll be the moderator today. Before the presentation begins, I'd like to introduce today's attendees. The presentation will be given by Hashimoto Mitsuru, Executive Officer, Chief General Manager of Corporate Planning and Finance Center. Today, after providing an overview of our financial results, details for each business will be presented. Following the presentation, a Q&A session for analysts and media will be held via Zoom. Business results announcement materials are posted on the Yamaha Motor Corporate website. Now to begin our financial results presentation.
Hashimoto Mitsuru: I am Hashimoto from Yamaha Motor Company. Thank you very much for taking the time to attend Yamaha Motor's earnings presentation today. At the same time, I would also like to express my sincere gratitude for your continued understanding and support of our business activities. Now I would like to explain the outline of our financial results. First, let me review the key points of our financial results. Please turn to Page 4. The first quarter results showed a decline in both revenue and income due to a decrease in motorcycle, water vehicle, and LSM sales, and an increase in R&D expenses, labor costs, and other selling and administrative expenses. Motorcycle sales volume decreased in Vietnam and Brazil. From the second quarter onwards, conditions are expected to gradually return to normal in all regions. There are many uncertainties regarding our full year earnings forecast, such as the impact of tariffs, so we are carefully assessing the situation. Should anything arise that requires our forecast to be corrected in the future, we will promptly announce such information and explain them. At the same time, we are steadily progressing with initiatives aimed at mid to long-term growth. In the first quarter, we made progress in the marine and SPV businesses with merger and acquisition activity. Although the external environment is difficult to predict, we will not be changing our strategic direction. We have clarified our priorities, and we will continue to work toward our future growth. Next, I would like to explain the details of the impact of tariffs. Please turn to Page 5. There are many uncertainties regarding the impact that tariffs will have on our financial results for the current fiscal year, and it is difficult to provide a precise explanation of the impact at this time. However, as the impact on our company will not be small, I would like to present you with the estimated amount of tariff increases that we currently expect. The impact amount shown here on this slide is calculated assuming that current tariff rates remain in effect throughout the year. However, this does not include the significant revision of tariffs on Chinese products that was announced just yesterday, or the various measures such as pricing strategies, cost controls, and inventory optimization. Additionally, we are currently examining the impact of tariffs on demand. The impact on the first quarter was minor, but from the second quarter onwards, costs are expected to increase, particularly in the marine business. In addition to short-term measures such as pricing strategies and cost controls, we will continue to optimize our production and procurement layouts. Next, unit sales and inventory. Please see Page 6. The table on the left shows the total demand and shipment volumes for each major product compared with the prior year's results. Regarding motorcycles, unit sales increased in the Philippines due to growing demand. In Indonesia, demand declined slightly. However, sales remained at the same level as the previous year, thanks to strong performance of new premium models. Meanwhile, sales volume in Vietnam decreased due to the impact of production and shipment suspensions caused by engine stamping defects. Please note that production in Vietnam has already returned to a normal condition. In Brazil, sales volumes have also decreased, but this is mainly due to a reaction to the issue of the low water levels of the Amazon River last year, which have been alleviated and have led to increase in sales. Regarding outboard motors, the sales volume was down on last year, but inquiries for 350 horsepower outboard motors continues to be strong, and sales volume is steadily increasing. As for ATVs and ROVs, the competitive environment remains tough, but unit sales have increased mainly for ATVs. The graph on the right compares market inventory against appropriate levels. For regions and products where inventory levels exceed the appropriate level, such as outboard motors, ATVs and ROVs, e-kits in the SPV business, and China in the MC business, we are steadily reducing inventory through continuous production adjustments. Meanwhile, in India, inventories are increasing due to stagnant demand caused by economic slowdown, as well as tightening of finance availability. We plan to return inventory to appropriate levels by adjusting production and enhancing retail promotion activities. Next, I'd like to talk about our business results overall for 2025. Please turn to Page 7. Regarding the results for 2025, revenue was 97% compared to prior year at JPY625.9 billion. Operating income was 56% higher than the previous year at JPY43.6 billion. Operating income ratio was 7% down 5.2% points from the previous year. Profit attributable to owners of the parent company was 55% of the prior year at JPY30.7 billion. EPS was JPY31.47, that's 56% on prior year. The current exchange rates are JPY150 per U.S. dollar and JPY161 per euro. Next, we'll look at the factors affecting operating income by element. Please turn to Page 8. As you can see, sales effects was a total of minus JPY11.2 billion, of which the breakdown is scale effects minus JPY8.3 billion, financial services minus JPY1.6 billion, pricing, which combines the effects of price increases and rebates at plus JPY9.7 billion, and others totaling minus JPY11.1 billion. In terms of impact on costs, it was minus JPY3.1 billion, which breaks down to plus JPY4.7 billion from cost reductions minus JPY7.8 billion from cost increases. In addition, an increase in research and development expenses resulted in minus JPY7.9 billion, increase in sale -- selling and administrative expenses resulted in minus JPY9.8 billion, and other items including equity method investment profits and losses were minus JPY3 billion, and the impact of foreign exchange rates was plus JPY600 million. Next, I'd like to explain our initiatives for mid to long-term growth. Please turn to Page 9. In the marine business, we have signed an agreement to acquire Telwater, a major Australian boat manufacturer, and in the SPV business, we have signed an agreement to acquire the e-Kit business subsidiary of Brose, a German automotive parts manufacturer. Both these efforts are part of our activities to establish a competitive advantage and achieve business growth as outlined in our new medium-term management plan. Through these acquisitions, we will accelerate our growth by providing attractive products and services and strengthening our global sales channels. Next, we'd like to look into details by business segment. This is the first quarter revenue and operating income by business. Please refer to Page 11. Robotics business has seen an increase in revenue and the deficit has gone down from the previous year. SPV business, financial service business, we have seen an increase in revenue but a drop in operating income. For the marine and OLV business, revenue was about the same as last year but operating income was down. Motorcycle business and others has seen a drop in both revenue and operating income. Now let's look at each business in more detail. Please refer to Page 12. First, from the left-hand side, the motorcycle business. Demand is increasing in the Philippines and sales remain strong but in Vietnam and Brazil, the sales is dropping and because of this impact, we have seen reduced revenue. Operating income, the sales units has dropped and because of the weaker currencies in emerging markets, we have seen an increase in procurement cost and due to an increase in R&D, personnel and SG&A expenses, we have seen a drop in operating income. From the second quarter and after, production will normalize in Vietnam and we are expecting a recovery. And also in the ASEAN region, the new model, NMax and Aerox, which was launched in Indonesia, will be rolled out. Next, the right-hand side, marine business. Outboard motors, the total demand has dropped and our sales of below 300 horsepower products has dropped. In terms of operating income, water vehicle sales has dropped and we have seen an increase in R&D, personnel expenses and other SG&A and therefore, we have seen a drop in operating income. Uncertainty will continue due to the U.S. tariff impacts and others but we will aim to achieve the target set for the midterm management plan and we will secure competitiveness in our marine business by enhancing our large outboard motor lineup and we will steadily strengthen our production capability. Now I'd like to introduce some new models of our motorcycle products. Please look at Page 13. Right now, demand is greatly growing in the Philippines and in 2024 April, we have launched the new NMax model. Last year, in Indonesia, the same model was launched and has been received favorably by the market and in the Philippines also, it has been received favorably by many of our fans and we will roll the same model out into other ASEAN regions. By launching popular models, we will drive our motorcycle business. Next, SPV business and robotics business. Please look at Page 14. Left hand side is the SPV business. Power-assisted bicycles for the domestic market has seen high demand and sales has increased. For e-Kits, the main market is Europe and the market inventory adjustment is ongoing and the sales units has been larger than the previous year. On the other hand, when we look at operating income, due to one-time impact of unrealized profit of the same term last year, we have seen a drop in operating income. Next, on the right hand side, robotics business. The main market is China and in other Asian markets, we are seeing a demand increase and for surface mounters. And semiconductor backend process manufacturing equipment, we have seen an increase in sales and operating income increased and operating loss has become smaller compared to last year. We are seeing an increasing trend of inquiries for China and we are preparing for a demand recovery going forward and we will strengthen manufacturing and sales structure. Lastly, outdoor land vehicle and financial services business. Please refer to Page 15. Left hand side is OLV business. LSM's major market is the United States where demand is declining and therefore, unit sales has dropped. RV, market inventory adjustment is ongoing but concerning demand, we see this is remaining weak. Our sales, especially in ATV, has increased but due to deteriorating model mix, the sales profit is about the same as last year and operating income declined. For OLV products, the U.S. sales ratio is quite high and we cannot be optimistic as we look at the tariff situation. We will control prices and expenses in order to improve sales and profit and we will look at demand and inventory level to adjust our production. Next, left hand side, financial services business. Revenue increased due to an increase in financial receivables but operating income decreased as the interest swap appraisal gain of last year turned into an appraisal loss. And with this, I would like to conclude the earnings presentation for the first quarter of fiscal year 2025. Thank you for your kind attention. And with this, we'd like to end the earnings presentation for the first quarter of fiscal year 2025. For all of you on YouTube live, thank you for tuning in.
End of Q&A: